Operator: Greetings, and welcome to the Braemar Hotels & Resorts, Inc. Fourth Quarter 2022 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jordan Jennings, Investor Relations. Thank you. You may begin.
Jordan Jennings: Good morning, and welcome to today's call to review results for Braemar Hotels & Resorts for the fourth quarter and full-year 2022 and to update you on recent development. On the call today will be Richard Stockton, President and Chief Executive Officer; Deric Eubanks, Chief Financial Officer; and Chris Nixon, Executive Vice President and Head of Asset Management. The results, as well as notice of the accessibility of this conference call is on a listen-only basis over the Internet were distributed yesterday in the press release. At this time, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the safe harbor provisions of the federal securities regulations. Such forward-looking statements are subject to numerous assumptions, uncertainties and known or unknown risks, which could cause actual results to differ materially from those anticipated. These factors are more fully discussed in the company's filings with the Securities and Exchange Commission. The forward-looking statements included in this conference call are only made as of the date of this call, and the company is not obligated to publicly update or revise them. Statements made during this call do not consent offers to sell or solicitation of an offer to buy any securities. Securities will be offered only by means of a registration statement and prospectus, which can be found at www.sec.gov. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company's earnings release and accompanying tables or schedules, which have been filed on Form 8-K with the SEC on February 27, 2023, and may also be accessed through the company's website at www.bhrreit.com. Each listener is encouraged to review those reconciliations provided in the earnings release together with all other information provided in the release. Also, unless otherwise stated, all reported results discussed in this call compare to fourth quarter and full-year ended December 31, 2022, with the fourth quarter and full-year ended December 31, 2021. I will now turn the call over to Richard Stockton. Please go ahead, Richard.
Richard Stockton: Good morning, and welcome to our 2022 fourth quarter earnings conference call. I will begin by providing an overview of our business and an update on our portfolio. After that, Deric will provide a review of our financial results, and then Chris will provide an update on our asset management activity. Afterwards, we will open the call for Q&A. We have a few key themes for today's call. First, as we've been anticipating, our urban hotels continue to ramp-up strongly, with comparable hotel EBITDA growth of 195% in the fourth quarter over the prior-year quarter. Second, we have now concluded capital raising for our non-traded preferred stock offering. The capital raised has allowed us to go on offense and grow our portfolio during an attractive time in the cycle, and we're excited about our recent acquisition of the Four Seasons Resort Scottsdale at Troon North. And third, we are pleased to report that the operating performance at the three hotels we have acquired this cycle has exceeded our original underwriting, and we continue to be excited about the addition of these iconic properties to our portfolio. Moving on to our quarterly results. We're extremely pleased with our record fourth quarter results and continue to see outperformance compared to 2019. Our comparable hotel EBITDA of $52.2 million during the quarter was driven by strong results at our resort properties. Additionally, RevPAR for all hotels in the portfolio increased approximately 8% for the fourth quarter of 2022 compared to the fourth quarter of 2021, which also represents an increase of approximately 20% when compared to the fourth quarter of 2019. Many of our hotels are in attractive leisure markets, and have been well positioned to benefit from persistent leisure demand. In total, 10 of our 16 hotels are considered resort destinations. We are pleased to report that this segment delivered a combined hotel EBITDA of $41 million for the quarter. We continue to be encouraged with the continued ramp-up of our urban hotels, which generated $11 million of comparable hotel EBITDA in the fourth quarter. For the fourth quarter, all six urban properties posted positive hotel EBITDA. This is a significant turnaround as demand is quickly returning to our cities. This includes leisure as well as corporate transient and corporate group demand. We've been saying that the recovery in our urban hotels would be the next phase of growth for our portfolio, and in the fourth quarter, these assets continue to exhibit solid growth. While leisure demand continues to be strong, particularly on weekends, we've been encouraged by the continued rebound in corporate transient and corporate group demand. Overall, we have seen these trends continue into a strong start to 2023. For the month of January, our preliminary figures suggest that we finished with 55% occupancy and an ADR of $541, which equates to a RevPAR of $297 for the month, exceeding the prior-year month by 19% and January of 2019 by 20%. We're also excited about our recent acquisition of Four Seasons Resort Scottsdale at Troon North for $267.8 million. This 210-room luxury resort sits on 37 acres, and is ideally located in picturesque North Scottsdale. We closed the transaction in early December with cash on hand, and no common equity was issued to fund the acquisition. We subsequently closed on a $100 million mortgage loan secured by the property and used the majority of the proceeds to completely pay off a more expensive loan secured by the Ritz-Carlton Reserve Dorado Beach. This property fits perfectly into our strategy of owning luxury hotels and resorts, and further diversifies our portfolio. Looking at our three most recent acquisitions, the Four Seasons Resort Scottsdale Troon North, Ritz-Carlton Reserve Dorado Beach and Mr. C Beverly Hills, all are performing nicely and produced solid operating performance during the fourth quarter. Four Seasons Scottsdale delivered RevPAR of $503 on a 51% occupancy and an ADR of $980. The Ritz-Carlton Reserve Dorado Beach delivered a RevPAR of $1,425 on a 57% occupancy and an ADR of $2,519. And Mr. C Beverly Hills delivered a RevPAR of $251 on a 76% occupancy and an ADR of $329. The Mr. C Hotel significantly outpaced our underwriting and continues to ramp-up nicely. For the full-year, the Ritz-Carlton Reserve Dorado Beach achieved an 8.2% yield on cost, while the Four Seasons Scottsdale achieved 6.4%. During 2022, the performance of the Four Seasons Scottsdale was impacted by having approximately 100 rooms at our service during parts of the year due to ongoing bathroom renovations. As a result, we expect results for 2023 to be even better. Looking ahead, we remain very excited about the prospects for these properties. Our balance sheet is in good shape, and overall, we have an attractive maturity schedule. We do have three upcoming final maturities this year, The Ritz-Carlton Sarasota loan matures in April, the Hotel Yountville loan matures in May, and the Bardessono loan matures in August. These are very low-leveraged loans, and we are already discussing these financings with lenders and don't anticipate any challenges with these maturities. We've also been active on the Investor Relations front. In the months ahead, we will continue to get out on the road to meet with investors to communicate our strategy and the attractiveness of investment in Braemar. Looking ahead, our unique portfolio, which is focused on the luxury segment and with properties in both resort and urban markets, positions us to perform well in both the near-term and the long-term as leisure demand remains strong and business and group travel continue to accelerate. We have the highest quality hotel portfolio in the public markets and what we believe is a solid liquidity position and balance sheet with attractive debt financing in place. I will now turn the call over to Deric.
Deric Eubanks: Thanks, Richard. For the quarter, we reported a net loss attributable to common stockholders of $13.5 million or $0.19 per diluted share. For the full-year, we reported a net loss attributable to common stockholders of $10.7 million or $0.15 per diluted share. For the quarter, we reported AFFO per diluted share of $0.16. For the full-year, we reported AFFO per diluted share of $1.23, reflecting a growth rate of 45% over the prior-year. Adjusted EBITDAre for the quarter was $39.2 million, which reflected a growth rate of 33% over the prior-year quarter and which was 54% higher than what we reported in the fourth quarter of 2019. Adjusted EBITDAre for the full-year was $172.4 million, which reflected a growth rate of 97% over the prior-year. We are pleased to report the strong growth rates in our non-GAAP operating metrics. At quarter-end, we had total assets of $2.4 billion. We had $1.3 billion of loans, of which $49 million related to our joint venture partner share of the loan on the Capital Hilton and Hilton La Jolla Torrey Pines. Our total combined loans had a blended average interest rate of 6.4%, taking into account in the money interest rate caps. Based on the current levels of LIBOR and SOFR and our corresponding interest rate caps, approximately 82% of the company's debt is effectively fixed and approximately 18% is effectively floating. As of the end of the fourth quarter, we had approximately 40.4% net debt-to-gross assets. We ended the quarter with cash and cash equivalents of $261.5 million and restricted cash of $54.2 million. The vast majority of that restricted cash is comprised of lender and manager-held reserve accounts. At the end of the quarter, we also had $26.6 million in due from third-party hotel managers. This primarily represents cash held by one of our brand managers, which is also available to fund hotel operating costs. With regard to dividends, in December, we announced a significant increase in the company's quarterly common stock dividend to $0.05 per share or $0.20 per diluted share on an annualized basis. This equates to an annual yield of approximately 4% based on yesterday's stock price. The Board also approved the company's dividend policy for 2023. The company expects to pay a quarterly cash dividend of $0.05 per share for 2023 or $0.20 per share on an annualized basis. Reflecting a strong conviction in Braemar strategy and our commitment to create long-term shareholder value, in December, we also announced a stock repurchase program of up to $25 million. We recently completed this $25 million buyback program and acquired 5.4 million shares at an average price of $4.60 per share. On the capital markets front, during the quarter, we closed on a mortgage loan for the 210-room Four Seasons Resort Scottsdale. The non-recourse loan totaled $100 million and has a three-year initial term with two, one-year extension options, subject to the satisfaction of certain conditions. The loan is interest-only and provides for a floating interest rate of SOFR + 3.75%. We subsequently used the majority of the proceeds from the new loan to pay off a more expensive loan secured by the Ritz-Carlton Reserve Dorado Beach, which had a floating interest rate of LIBOR + 6%. As of December 31, 2022, our portfolio consisted of 16 hotels with 3,946 net rooms. Our share count currently stands at 78.2 million fully diluted shares outstanding, which is comprised of 69.9 million shares of common stock and 8.3 million OP units. This concludes our financial review. I'd now like to turn over to Chris to discuss our asset management activities for the quarter.
Christopher Nixon: Thank you, Deric. Comparable RevPAR for our portfolio increased 8% during the fourth quarter relative to the prior-year quarter and 20% compared to the fourth quarter of 2019. The outperformance of our portfolio versus 2019 during the fourth quarter compared to the overall market was significant. RevPAR for the luxury chain scale nationwide during the fourth quarter exceeded 2019 by 10%, while the upper upscale chain scale nationwide exceeded 2019 by only 2%. Our resorts are thriving with comparable hotel EBITDA up 69% during the fourth quarter relative to the fourth quarter of 2019. We are also pleased with the fourth quarter results for our group pace, shoulder night weekend occupancy and a number of record setting performances from our properties. Our team continues to find ways to create value within our portfolio of high performing assets. Group room revenue for the fourth quarter actualized ahead of 2019 by 7%. We are seeing a much shorter booking window relative to 2019, which bears with the ability for more nimble pricing strategies. Group rate actualized for the fourth quarter 18% above comparable 2019. We also saw excellent signs from our group booking volume in the fourth quarter, where December marked the highest month of the year in terms of total group bookings. This propelled our group booking volume for the full-year to 20% higher than what we achieved in 2019. This momentum is carried into 2023, where group revenue is already outpacing 2020 and 2022. Beyond group production, the strength of leisure and continued return of business travel are evident in this portfolio when we look at our results on weekends and shoulder nights. The portfolio's Friday and Saturday combined RevPAR during the fourth quarter was ahead of 2019 by about 28%. This strong performance is indicative of exceptionally healthy leisure demand. In addition to the high leisure demand we continue to see, our team has been successful in stretching length of stays and attracting additional room night demand for our shoulder nights of Sunday and Thursday. The combined shoulder night RevPAR during the fourth quarter was ahead of 2019 by about 20%. This is particularly promising since both weekends and shoulder nights RevPAR have improved relative to 2019 since last quarter. One example of this shoulder night success has been at Hilton La Jolla Torrey Pines, where our ability to secure groups for longer stays resulted in shoulder night group room nights during the fourth quarter, exceeding 2019 by 38%. Paired with high weekend demand and new corporate accounts, this hotel was one of four hotels in our portfolio to achieve record RevPAR in the fourth quarter. The portfolio had a number of performance records set during the fourth quarter. Specifically, we are pleased with the record set by the newer additions to our portfolio, which demonstrate the team's ability to partner with new operating teams to identify and execute on value-enhancing operating initiatives. The Ritz-Carlton Reserve Dorado Beach, which we acquired in March of 2022, has exceeded our initial expectations and achieved record RevPAR for the fourth quarter and record hotel EBITDA for the year. The Mr. C Beverly Hills, another recent acquisition, also achieved record performance during 2022 with record a RevPAR for both the fourth quarter and full-year. Our team has been successful at implementing the strategic takeover plan we created at the time of our acquisition. We are extremely excited about the newest addition to our portfolio, the iconic Four Seasons Resort Scottsdale at Troon North, and look forward to utilizing our expertise and resources to drive operating results at the property. Moving on to capital investment. We have invested heavily in our portfolio over the last several years to enhance our competitive advantage. These investments uniquely position our portfolio to benefit from the pent-up demand that we're currently seeing in our markets. We spent approximately $49 million on capital expenditures in 2022, and we currently anticipate spending approximately $80 million in 2023. We completed the guest room renovation at Marriott Seattle Waterfront, a restaurant patio edition at the Park Hyatt Beaver Creek, and converted underutilized office space into event space at The Ritz-Carlton St. Thomas. We are currently converting an underutilized pool to expand the current fitness center and add meeting space at The Clancy in San Francisco. While we are reaping the benefits of several strategic initiatives that we have completed over the past few years such as the Bardessono Villas, the complete rebuild of The Ritz-Carlton St. Thomas after Hurricane Irma and key additions at the Ritz-Carlton Sarasota, to name a few, we are already launching new initiatives to enhance our portfolio. Some of these include full property guest room renovations, developing underutilized land and key additions such as the recent acquisition of three keys at the Park Hyatt Beaver Creek in January of 2023. With these new initiatives underway, we are confident that the team will continue to drive the portfolio to new heights. I will now turn the call back over to Richard Stockton for final remarks.
Richard Stockton: Thank you, Chris. In summary, we continue to be pleased with the trends we are seeing in our hotels driven by strong leisure demand in our luxury resort properties and the continued recovery of our urban properties. We see a clear path for continued strength in our future financial results. We are well positioned moving forward, with a solid balance sheet and the highest quality portfolio in the publicly-traded hotel REIT market. We look forward to updating you on our progress in the quarters ahead. This concludes our prepared remarks, and we will now open the call up for Q&A.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from Tyler Batory with Oppenheimer. Please proceed with your question.
Tyler Batory: Hey, good morning. Thank you. First question for me, on the operating costs and margin. I think it's been a key topic of conversation so far during the earnings season. What are you budgeting for operating expense growth in 2023? What are your assumptions for wages and the operating cost environment? Is it much different in the resort markets versus some of your urban markets?
Christopher Nixon: Hey, Tyler, thanks for the question. So from a margin standpoint, I mean, we're very happy with the EBITDA margins we've been able to drive versus 2019. I think we had an improvement of about 340 bps for the fourth quarter. Our rooms profit margin is improving. We're very happy with the staffing models that we've got at hotels. I think when we look at labor, which is a big part of that equation, we're at about 86% of pre-COVID levels, and that varies obviously very much by market. We're having some challenges in some of our ski and some of our resort destinations in staffing. We're using more contract labor as we get through next year, and we can incorporate more visa -- labor associated with visas and move some of that labor in-house. We think that that improves. We're not seeing a big difference in terms of our resorts versus urban hotels from a cost standpoint. I think typically, our resorts run much higher margins. And so we're really happy with the growth that we are anticipating from our urban hotels. Those hotels had a lot of runway left. But as those hotels grow in terms of the year-over-year comparables, it could create some noise from a margin standpoint. In terms of costs, we're expecting wage increases next year of 4% to 5%. That's kind of in line with what we're seeing. We think that hourly wages will probably grow a little bit more than management wages, but it should all blend up to around 4% or 5%.
Tyler Batory: Okay. Okay. That's very helpful. A couple of capital allocation questions. In terms of the share repurchase, can you just talk a little bit more about that decision to share repurchases, perhaps could that be a larger part of your capital allocation plan going forward here?
Richard Stockton: Yes. So the decision was taken by the Board in December of last year. Really, it's a reaction to what we saw as an unwarranted sell-off in the share price. We had underperformed our peers pretty significantly during the month of November, and saw that the price to be just really too attractive not to allocate capital to a buyback. So if you look at the share price performance since that decision, which was accompanied by the increase in dividends, we've -- the share price has significantly outperformed our peers now. So it was really based on the attractiveness of the share price. I can't say what might happen going forward. We have now completed that program. It was a resounding success, so the Board will take whatever actions are necessary going forward.
Tyler Batory: Okay. Great. And then just the last one for me on the acquisition side of things. Any high level thoughts on the pipeline opportunities out there, potentially what acquisition activity might look like this year?
Richard Stockton: Yes. Well, we continue to be active in assessing deals and underwriting opportunities. I'll say that the market continues to move in our favor. In other words, the availability of debt for highly leveraged buyers is still very challenging. And that's not us. So any of the REITs, frankly, we're able to buy unencumbered have a significant competitive advantage at this time in the market, and we don't see that really changing for the balance of the year. So we'll continue to look for opportunities. I think if you want to try to gauge the other pace of our acquisitions, just kind of look historically at what we've done, look at our balance sheet. We do have a significant amount of excess cash available to us. So I'm actually looking forward to this year and looking at some deals. I think, again, we'll be in the driver seat from a pricing perspective, kind of given the lack of competition that we see out there.
Tyler Batory: Okay. Great. That's all for me. Thank you.
Operator: [Operator Instructions]. Our next question comes from Michael Bellisario with Baird. Please proceed with your question.
Michael Bellisario: Thanks. Good morning everyone.
Richard Stockton: Hi, Michael.
Deric Eubanks: Good morning.
Michael Bellisario: Richard, Deric. Following up on that last question. Now that the preferred offering has been turned off, but you have ample cash on the balance sheet, what are plans for allocating that cash? Is it really focused on waiting for acquisitions and deploying that capital to grow the portfolio? Is there any reason to remain patient or focused on repaying some maturing debt?
Richard Stockton: Good question, Michael. Thanks. Yes, it will be a combination of things. Yes, I don't know for certain, as we have to see what opportunities arise. But like I said, we'll be looking at acquisition opportunities. But depending on where the benchmark rates head and where debt spreads head, we might find the best use of cash to repay some debt. So you might see that as well. But I think we're still really assessing what we want to do there, particularly in light of some of the re-financings we have coming up. We have ample cash to perhaps pursue lower leverage loans on refinancing, so we'll see. We haven't fully decided how we want to do it, but I think it will almost certainly be a combination of things.
Michael Bellisario: Got it. And then as you look further out, I know it's probably been 12 months out, but what might be the next source or sources of capital for you, and what's the timing for a second preferred offering? Or does that really depend on Trust's offering and any success that they have there in raising capital?
Richard Stockton: Yes. We haven't really taken any decision to plan for a second preferred offering. We're going to let the market digest the preferred offering that's now closed. You're right that Ashford Hospitality Trust is raising money in the non-traded preferred space. That offering will be open for almost three years, so we're going to kind of sit tight and utilize the cash on hand to pursue growth opportunities at Braemar. That's the plan.
Michael Bellisario: Got it. Thank you.
Operator: There are no further questions at this time. I would now like to turn the floor back over to management for closing comments.
Richard Stockton: Thank you all for joining us on the fourth quarter earnings call, and we look forward to speaking with you again on the next call.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.